Operator: Good morning, ladies and gentlemen. Thank you for standing by. Welcome to Jumia's Results Conference Call for the Second Quarter of 2023. At this time, all participants are in a listen-only mode. And after management's prepared remarks, there will be a question-and-answer session. I would now like to turn the call over to Safae Damir, Head of Investor Relations for Jumia. Please go ahead.
Safae Damir: Thank you. Good morning, everyone. Thank you for joining us today for our second quarter 2023 earnings call. With us today are Francis Dufay, CEO of Jumia; and Antoine Maillet-Mezeray, Executive Vice President, Finance and Operations. We will start by covering the Safe Harbor. We would like to remind you that our discussions today will include forward-looking statements. Actual results may differ materially from those indicated in the forward-looking statements. Moreover, these forward-looking statements may speak only to our expectations as of today. We undertake no obligation to publicly update or revise these statements. For a discussion of some of the risk factors that could cause actual results to differ from the forward-looking statements expressed today, please see the risk factors section of our annual report on Form 20-F as published on May 16, 2023, as well as our other submissions with the SEC. In addition, on this call, we will refer to certain financial measures not reported in accordance with IFRS. You can find reconciliations of these non-IFRS financial measures to the corresponding IFRS financial measures in our earnings press release, which is available on our Investor Relations website. With that, I'll hand over to Francis.
Francis Dufay: Thank you, Safae. Welcome everyone. Thanks for joining us today. I am pleased to report another quarter of significant reduction in losses as we execute on our strategy with discipline and focus. Q2 '23 was the fourth consecutive quarter of loss reduction on a year-over-year basis, with a material acceleration in the base of loss reduction. In Q2 '23, we cut both adjusted EBITDA and operating losses by two-thirds, reaching the lowest levels in over four years. This was achieved thanks to significant savings across the full cost structure. We cut our operating expenses by almost half in Q2 '23 compared to Q2 '22. We are reaching record levels of efficiency, particularly in fulfillment and sales and advertising expenses, while improving our customer value proposition. And that's a very important point. We are not driving cost savings at the expense of our standards of operation. We are operating more efficiently with a leaner cost structure, while improving the quality of our supply, expanding our logistics reach and providing our customers and sellers with a better value proposition overall. Having successfully right-sized our cost base, our top priority is now growth. And here, we are taking no shortcuts to drive growth. We are doing the heavy lifting and fundamentals to build what we believe to be a sustainable foundation for long-term profitable growth at Jumia. We are now in the middle of this transition with the added complexity of a very challenging macro environment, which is heavily affecting usage performance. Let's now review the details of usage in Q2 '23. Quarterly active consumers, orders and GMV declined by 28%, 37% and 25% year-over-year, respectively. This was driven by a combination of factors. First, as already mentioned, the macro environment remains extremely challenging. The average inflation level across our footprint reached 14.1% in June '23 with highs of 42.5% and 35.7% in Ghana and Egypt, respectively. In Nigeria, our largest market, inflation reached an 18-year high in June at 22.8%. This is affecting consumer spending power and overall sentiments. And it's also restricting sellers' ability to source goods since there continue to be very severe restrictions on imports in many countries. The second driver of usage performance is internal. We continue to recalibrate our product and service portfolio, moving away from the most unprofitable categories with limited consumer lifetime value. This is currently impacting growth, but is the right thing to do to set the business on what we believe to be a solid foundation for growth. The most heavily affected categories were grocery and JumiaPay app services. We have now suspended our first party grocery offering in most countries, and we have de-emphasized the most promotional intensive services on the JumiaPay app. JumiaPay app services, combined with the FMCG category, which includes grocery products, accounted for 45% of the volume decline this quarter and 31% of the GMV decrease. In contrast, we are very encouraged by the early signs of growth in some of the priority categories, such as appliance, where our efforts to rebuild supply are starting to pay off. The third driver of usage performance specific to GMV is foreign exchange. FX was a significant headwind and contributed 13 to 14 points to the 25% GMV decrease in Q2 '23. Nine out of 10 local currencies depreciated against the dollar in H1 '23 compared to the same period last year. With respect to the Nigerian Naira, the effects of the liberalization of the FX regime mid-June led the Naira to drop by over 60% against the U.S. dollar in June. Clearly, there are lots of moving pieces on the usage front, which are adversely affecting our performance. However, we remain confident that we have the right strategy to drive long-term profitable growth for our business. I will not spend too much time on the details of our growth strategy. We have gone through that at length in our prior earnings call. I will briefly remind you of the key levers anyway. One, supply. We are focused on improving the quality and depth of supply on our platform, focusing on the core categories; and these are phones, electronics, home and living, along with fashion and beauty. Two, we are working on penetrating our addressable markets more effectively, and this means tapping into the large consumer pools located outside of the main cities, which are usually underserved by retail. We are currently doing a lot of work on the logistics and marketing fronts to penetrate these areas in a cost effective manner. Third, we're enhancing our UI and UX to make our platform easier and more intuitive to use. And last but not least, JumiaPay is a key enabler for e-commerce growth to add more convenience and remove frictions for consumers at the checkout. A good example of that is JumiaPay on-delivery, which we are rolling out in a number of countries to further reduce the use of cash. So, these are very structural improvements on our platform, not hacks to drive quick growth. So, we expect these efforts to pay out over time. That said, we are encouraged to see early signs of success in our efforts to rebuild supply in our priority categories. Then, looking at the GMV mix evolution over the year -- over the past year, sorry, we clearly see an uptick in the share of phones, electronics, and home and living, which we call general merchandise categories. They went from 52% of GMV in Q2 '22 to 59% of GMV in Q2 '23. You might recall that between 2020 and 2022, the prior management team was heavily focused on expanding everyday categories, in particular, the FMCG and grocery categories. And this proved to be complex operationally with very challenging economics. Unfortunately, the everyday categories drive came to a large extent at the expense of the general merchandise categories, which were historically the bread and butter of our platform. It was therefore essential for us to build or rebuild these categories and strengthen our position in there. We are very pleased to see growing momentum in these categories again. For example, in Senegal, the electronics category was the fastest growing category in GMV terms in Q2, up 58% year-over-year followed by home and living, up 39% year-over-year. Similarly in Ghana, phones was the fastest category -- fastest growing category, up 25% year-over-year followed by home and living, up 15% year-over-year. The increased share in general merchandise categories is driving an increase in average order value, which was up 18%, reaching $31 in Q2 '23. This is an important aspect of unit economics. Smaller baskets are much more challenging economically and require very large scale and operating leverage on costs to breakeven. We are confident that our commercial strategy, along with our successful cost cutting efforts, will help us accelerate our path to profitability. And this is clearly reflected already in the acceleration of loss reduction. Let's now move on to JumiaPay. I would like to start here by reiterating that the development of JumiaPay remains a priority for us, and we have outlined several ongoing initiatives to support this development, both on and off platform. On platform, we are focused on making JumiaPay an even more effective enabler of e-commerce. First, we are integrating more relevant payment methods. To complete the payments using JumiaPay for the first time, customers link their JumiaPay accounts to the underlying payment methods of their choice. And this can be debit or credit card or bank account or third party e-wallets. We are in the process of extending the range of payment methods that can be linked to JumiaPay account to support JumiaPay adoption. Second, we are rolling out JumiaPay on-delivery. This new feature allows customers to pay digitally upon delivery of their order through a payment link or QR code, thus reducing the need for cash. After a successful initial pilot in Kenya and Nigeria in Q1, we are now deploying JumiaPay on-delivery in Morocco, Ghana and Uganda. While we are in the early days of the product rollouts, the initial results are encouraging. In Kenya, a third of post-paid transactions in Q2 '23 were completed using JumiaPay, compared to 20% in March '23. Third, we are developing Buy Now Pay Later solutions in partnership with third-party partners to support purchases on our platform. Through JumiaPay, our customers can access consumer finance options offered by third-party partners, who are responsible for credit underwriting and loan disbursements. And last but not least, we intend to be very disciplined in terms of initiatives that we pursue. We are focusing on what brings tangible value to our ecosystem while supporting our path to profitability. For instance, we have been rationalizing the digital services offered on the JumiaPay app to focus on the ones that drive healthy repeat purchase behavior, while offering attractive economics. As part of that, we have suspended a number of services that were historically promotional intensive such as airtime recharge services, vouchers, and many more. This has negatively impacted JumiaPay performance in the first half of '23, and we expect it to continue affecting JumiaPay performance for the rest of the year. Off platform, we believe that JumiaPay has strong development potential to process payments on behalf of third-party merchants. Here again, we plan to drive off platform development in a disciplined manner, starting in the countries where we already have obtained -- where we have already obtained the relevant licenses to do so, Nigeria and Egypt. A number of improvements to our own platform solutions are transferable to off platform, including the Buy Now Pay Later solutions. We are also developing specific products and features to support our off platform development. For instance, we are developing a white-label checkout solution for third-party merchants, allowing them to offer payments under their own brand name on their platforms. Let's now review the performance of JumiaPay in Q2 '23 in more detail. In line with our objective of making JumiaPay an even more effective e-commerce enabler, we are significantly increasing the penetration of JumiaPay in both our physical goods and food delivery platforms. Let's start with TPV. TPV was $56.9 million, down 23% year-over-year and down 6% on a constant currency basis. FX was again a significant headwind to TPV performance, in particular the 76% depreciation of the Egyptian pound versus the dollar. The decline in JumiaPay app TPV accounted for almost 90% of the total TPV decline. This was a result of our decision to move away from highly promotional digital services on the app that drive limited consumer lifetime value. This is in line with the discipline imperative that I outlined earlier as well as our focus on profitable growth. On a sequential basis, TPV was up [12%] (ph), supported by the strong growth of JumiaPay on-delivery. TPV penetration as a percentage of GMV, increased from 27.4% in Q2 '22 to 28.1% in the Q2 '23, supported by increased TPV penetration in both physical goods and food delivery platforms. In physical goods, TPV penetration increased from 21.8% in Q2 '22 to 26.3% in Q2 '23. In food delivery, the increase was even more significant, from 24.8% to 32.3% over the same period. Now moving on to JumiaPay transactions. JumiaPay transactions reached 2.1 million in Q2 '23, down 38% year-over-year. Here again, the decline is largely attributable to JumiaPay app, which accounted for over 90% of the overall JumiaPay transactions decline. Transactions penetration as a percentage of orders on both our physical goods and food delivery platforms increased significantly. Physical goods transactions penetration increased from 19.3% in Q2 '22 to 26.1% in Q2 '23, and from 23.2% to 32.1% in food delivery over the same period. Overall, 32% of orders placed on the Jumia platform in Q2 '23 were completed using JumiaPay compared to 32.7% in the second quarter of '22. The slight decline in overall penetration is due to the reduction of JumiaPay app services in the transaction mix. To wrap up on JumiaPay, despite mix effects impacting headline performance, we are making good progress on penetration. We are strengthening the quality and relevance of our products to better serve e-commerce merchants both on and off platform. I will now hand over to Antoine, who will walk you through our financials.
Antoine Maillet-Mezeray: Thank you, Francis. Hello everyone. Let's start with a review of our top-line performance on Page 12. Revenue reached $48.5 million in Q2 '23, down 15% year-on-year and up 6% on a constant currency basis. First Party revenue was $21.9 million, down 12% year-over-year, but up 19% on a constant currency basis. FX was a significant headwind to First Party revenue performance, in particular the Egyptian Pound depreciation year-over-year. On a constant currency basis, we saw a strong growth in First Party revenue in Egypt, due to strong momentum in First Party general merchandise sales. We always aim to get the right supply for our customers, and therefore, may do retail business in an opportunistic manner to bridge temporarily any assortment gaps on our platform. Let's now unpack the performance of our Marketplace revenue. Marketplace revenue reached $26.1 million, down 15% year-over-year and stable on a constant currency basis. Commissions revenue was up 7% year-over-year and 24% on a constant currency basis. This was mostly due to commission take rate increases implemented in mid-2022. Marketing and advertising revenue was down 18% year-over-year, but up 5% on a constant currency basis. The challenging macro context is causing advertisers to be more cautious with their ad spends. Value-added services revenue, which mainly includes logistics revenue from sellers, and fulfillment revenue, which includes shipping fees from consumers, decreased by 36% and 23% year-over-year in parallel with decline in volumes. That said, we are significantly improving the monetization of our logistics services and the pass-through of our fulfillment costs. The ratio of the sum of fulfillment and value-added services revenue over fulfillment expense increased from 56% in Q2 '22 to a record high of 80% in Q2 '23. This supports our unit economics and helps reduce our losses. Gross profit reached $26 million in Q2 '23, down 13% year-over-year and up 2% on a constant currency basis. Commission take rate increases drove an expansion in gross profit margin, which went from 11% in Q2 '22 to 12.9% in Q2 '23. Let's now move to cost, where we have been making very significant progress. Fulfillment expense reached $13.7 million, down 50% year-on-year and 42% on a constant currency basis, in parallel with the decline in orders. Importantly, we are reaching record levels of logistics efficiency. Fulfillment expense per order excluding JumiaPay app orders, which do include logistics costs, decreased by 30% from $3.2 dollars in Q2 '22 to $2.2 in Q2 '23. As a percentage of GMV, fulfillment expense improved from 10.2% to 6.8%. This is a very important transformation of logistics economics and reflects the success of the initiatives we have been working on across our logistics chain. These include a higher share of pick-up station deliveries, which increased from 33% of shipped physical goods orders in Q2 '22 to 42% in Q2 '23. We are strategically expanding our pick-up station network to penetrate under tapped areas of the market in a cost effective manner. We have also been optimizing our footprint and logistics routes, improving warehousing staff productivity, reducing packaging costs, along with many other initiatives. Sales and advertising expense reached $5.8 million, down 74% year-on-year and 71% on a constant currency basis, as we continue to bring more discipline to our marketing investments. We see clear improvement in our marketing efficiency ratio with sales and advertising expense per order decreasing by 59% from $2.2 in Q2 '22 to $0.9 in Q2 '23. As a percentage of GMV, sales and advertising expense reached 2.9% in Q2 '23, which is more than 5 percent -- point improvement year-on-year. I want to stress here that while we are reducing our marketing budgets, we remain committed to driving the profitable long-term growth of Jumia. We believe that the primary driver to unlock demand at this stage is not marketing spend, but rather a fundamental enhancement of selection, price and convenience. Our priority today is on improving these fundamentals with a particular focus on capturing deeper and higher quality supply. Moving on to technology and G&A costs. Tech and content expense reached $11.1 million, down 22% year-over-year and down 21% on a constant currency basis. While this is a meaningful reduction, we have room to drive further savings as we continue rationalizing our software cost and staff structure. As part of that, we intend to locate an increased share of our developers and tech personnel in Africa, closer to our customers and sellers. Technology is a core part of our DNA and we remain committed to developing better products and features to improve the experience of all participants on our platform. G&A expense, excluding share-based compensation, reached $17.7 million in Q2 '23, down 33% year-over-year and down 20% on a constant currency basis. G&A expense included a $4.1 million beneficial impact from a tax provision release. Excluding the impact of this provision release and share-based compensation, G&A was $21.8 million in Q2 '23. The staff cost component of G&A, excluding share-based compensation, decreased by 32% year-over-year due to the organizational changes we have been undertaking. In less than a year, we have completed a major overhaul of our organization. We have removed significant layers of managerial complexity and largely reduced our presence in Dubai in favor of Africa. Importantly, thanks to a deep understanding of our operations, we drove major staff cost savings without affecting our ability to serve our customers and sellers. I want to acknowledge here the hard work and resilience of our teams who have made this possible. Moving on to balance sheet and cash flow items. CapEx in Q2 '23 was $0.3 million as we remain committed to an asset-light model. The expansion of our logistics and pick-up station network that we referred to earlier is all down leveraging third-party partners, allowing us to scale faster and in the CapEx-light manner. Net change in working capital had a cash flow impact of $2.2 million, supported by a $2.4 million increase in payables related Jumia Anniversary campaign. Cash utilization for the quarter was $38 million. This included a $19 million adverse currency effect on cash, with $13 million related to the Nigerian devaluation in June '23. Notwithstanding FX headwind, cash utilization was down 42% year-over-year in Q2 '23. At the end of June 2023, we had a liquidity position of $166 million comprised of $61 million of cash and cash equivalents and $105.3 million of term deposits and other financial assets. Of this total liquidity position, nearly 70% is in USD, and therefore, not exposed to local currencies risk. We feel comfortable with our liquidity position, and our successful effort to reduce losses and cash utilization allow us to materially extend our cash runway. I now hand over to Francis, who will walk you through our guidance.
Francis Dufay: Thank you, Antoine. We have a clear objective of reducing losses and accelerating our path to profitability, and we are delivering strongly on that. Considering the good progress made on loss reduction in H1 '23, we are now updating our adjusted EBITDA loss guidance for the full year 2023. We expect adjusted EBITDA loss of $90 million to $100 million compared to the previously communicated range of $100 million to $120 million. This implies over 50% year-over-year reduction in adjusted EBITDA loss. We expect also our cost efficiency efforts to continue paying us in 2023. We are updating our sales and advertising expense guidance to reflect lower marketing spends. As I mentioned earlier, we are focused on enhancing business fundamentals to drive growth. We're directing our marketing spend towards the most relevant and cost effective channels. As such, for the full year 2023, we expect sales and advertising expense of $20 million to $30 million versus the previously communicated range of $30 million to $40 million. This compares to $76 million in 2022. Last but not least, given the good progress made in H1 '23, we're also updating our G&A guidance. Excluding share-based compensation, we expect G&A expense of $85 million to $95 million versus $90 million to $105 million previously. This compares to $118 million in [2023] (ph), and is essentially a reflection of headcount reduction. We remain committed to driving the business towards profitability. We have made good progress on cost savings so far, executing very strongly despite a very challenging macroeconomic backdrop. We intend to maintain very strong discipline as we work on getting back to growth. As part of that, we will continue making fundamental enhancements to our platform. And this means, securing better supply and pricing while offering a more convenience experience to customers and sellers. We're confident that this approach will pay off in the medium term, and we can see encouraging signs already at country and category levels to support that. Overall, we remain very confident in the long-term growth potential of our markets and our ability to capture this opportunity in a profitable manner. With that, we're ready to take your questions.
Operator: Thank you. At this time, we will be conducting a question-and-answer session. [Operator Instructions] Our first question is coming from Luke Holbrook with Morgan Stanley. Your line is live.
Luke Holbrook: Good afternoon. And just two questions from me. The first is just on the fact that orders were down 37% in Q2. That worsened from 28% in Q1. So, I'm just wondering if you can just comment on where the trends were heading during the quarter and perhaps where the exit rate was for order declines by the end of the quarter or maybe on post quarter trends. And then the second one is, have you seen merchants pass on kind of the high commission rates that you're now charging them to consumers that maybe weakened perhaps [indiscernible] proposition and demand from that side? Thank you very much.
Francis Dufay: Thanks, Luke. So, let me take your questions. So, on the orders trends first. So, there are several things to be taken separately, I would say. A lot of it is due to the very deliberate actions, right? We deemed that share of the business was not sustainable with healthy economics, and that's why we've been sharply reducing categories that required very high promotional intensity and -- or yielded very bad economics. For example, JumiaPay app services or our groceries and FMCG. Just that, FMCG and JumiaPay app services is -- the two segments are responsible for 45% of the decline in items sold, which is a good proxy for orders decline. So, nearly half of the loss is coming from very deliberate action and sustainable segments. Then most of the rest is, heavily driven, I would say, by the macro environment. I mean, one thing that I will never be -- I will never stress enough is that we're facing right now in emerging markets and especially in Africa possibly the worst macroeconomic situation in a decade or more, high inflation, very restrictive economic policies, [indiscernible] and so on. It's heavily impacting the supply -- the quality -- the quantity and quality of supply that we can get and the purchasing power of consumers. So all that is sharply driving the trends in usage as you can see. Then when we look at the intra-quarter trends, there was no meaningful difference between the months. When we look at post-quarter trends, we're starting to see some encouraging signs on volumes in a number of countries after -- starting Q3. I cannot comment very much in detail yet, but we're seeing that countries have started the transformation a bit earlier and that have now stabilized macro environment, I will not say great, but stabilized microenvironment, are starting to see an inflection point. I'm talking, for example, Ivory Coast, Morocco, Senegal, Ghana, Uganda. So, this includes quite a few really big markets for us. And these are very encouraging signs, and I'd be happy to comment a bit more on that during the next earnings release in three months. Then to your last question on merchants passing on the higher commissions rate to consumers. So, we've seen a bit of that in some categories. So, it really depends on markets and categories. In some categories, there was -- the effect was [really neutral] (ph). I mean, there was no impact on consumer prices. In some other categories, a bit of the pricing -- of the commissions increase were passed on to consumers, but we tried to make it -- to do it in a smart way. So the bigger increases were on categories where price competitiveness is a bit less relevant and I mean -- where selection and assortment are more relevant than in other categories. So for example, in categories like home and fashion, we see more -- we see that consumers give more importance to choice and selection, and vendors were able to pass on a slice, not all of it, but a slice, of the commissions increase with no meaningful impact. We still managed to stabilize the volumes in those categories.
Luke Holbrook: Perfect. Thank you very much.
Francis Dufay: I hope this answers the questions.
Luke Holbrook: It does. Thanks.
Francis Dufay: But basically, this is not the main driver -- I mean, this is not a key driver for volume decrease.
Operator: Thank you, sir. Our next question is coming from Catherine O'Neill with Citi. Your line is live.
Catherine O'Neill: Great. Thanks very much. I've got a few questions actually. Firstly, I just wondered if you could provide a bit more detail on what you're doing when you around the high quality and lower price supply that you're talking about as a key driver for the business or key focus at the moment and where in particular you're seeing those gaps either geographically or by category and just sort of how long that process might take. That's the first question. Second, I guess sort of linked to that is, when do you think we should start to see maybe a return to growth again in terms of the number of active customers? Then thirdly, on JumiaPay where you were talking about some of the off platform opportunities, I don't know if you're able to provide a bit more detail on how you think about the size of those opportunities and the sort of revenue streams or revenue models associated with those? And then finally, just on your cash balance, I just wanted to understand a bit more about whether there's any trapped cash and what the composition is?
Francis Dufay: Sorry, I didn't catch the last question, Cathy.
Catherine O'Neill: On your current cash balance or cash and equivalents, just a bit more detail on, is there any sort of trapped cash and just what the composition of that cash balance is and the accessibility of that?
Francis Dufay: Okay, sure. All right. Let me try to take the first three questions and Antoine, if you don't mind, I'll leave you the fourth question. So, on the concept of improving supply and prices, which is a huge part of our plan to return to growth, let me try to give you more details. Your first sub question was, where do we have a gap? We have gaps pretty much -- I mean, in many places, if I can put it this way. So in most countries and most categories, what happened is that in the past, Jumia relied heavily on stimulating demand, mostly for marketing actions and promotions, while we actually operate in markets where the most challenging part of the equation is actually supply. There is demand in all of our markets. There is plenty of demand. It's just poorly served. And you need to -- I mean, we need to figure out a world where you cannot buy everything you like at any time. If you need a fridge, there's only one brand on the market. If you need shoes, well, there's only one color at the shop or the only half of the sizes. So, our consumers in the markets where we operator are mostly faced with issues to access supply. So the right way to grow, that's my very deep belief and that's how we shaped the plan, is to work on supply rather than demand. We have traffic. We have demand. We need better supply for our consumers, and this is what has worked in the past in the selection of countries at Jumia. So, we ended up in cases where we were [ingesting] (ph) quite heavily in marketing on categories where, clearly, we didn't have the right assortment where competition offline and online at better prices, more brands, more selections. And at this point, you can spend any amount in marketing, it's not going to make up for the gap in selection. And that was pretty much across the board. I mean, some countries were faring better, I think we gave the examples of Senegal and Ivory Coast a few quarters ago, but that was really the challenge across other countries. So, what we're doing for that is we -- I mean, we're working with the people who have the power in the market and who have to supply. So, all suppliers, merchants, vendors, whatever the name, they exist. I mean, there are many of them in our markets. There are those who have access to brands, access to international supply, can import, have the financial power to bringing sufficient quantities, and we need -- I mean, that's what we've been doing for a while. We need to convince them to come back to Jumia, at least all of their assortments, give us better prices than other distributors in the rest of the market, so we can start generating volumes and revenues for them. It's a long process. Sometimes it means rebuilding relationships. Sometimes it means building them from scratch. Sometimes it means regrowing your account that have been with us a while, but were too small and so on and so forth. It's a lot of personal relationships as well in many of the markets where we operate. History and -- good and bad history plays a role. So it takes time, but it's definitely the right thing to do and we see that when relationships are rebuilt and volume starts flowing again, we opt to a very, very positive trends. So, to your question, around payoff time, it's very hard to put a number on that. But what we see, I mean, it takes six to 12 months to fully turn around the country, to put it this way, to turn around the customer -- the supplier's relationships, re-lease everyone, rebuild categories one by one, invest marketing on the right categories, so we rebuild our reputation on those categories, and get the customers coming back and then get a positive cycle of reinforcement with more sales, more supply, and so on. But, as -- I mean, I said six to 12 months, so if you do the math, you can understand that a large part of our countries have been in this transformation for more than six or 12 months. So, we should start seeing the impact at country level already. And this is what I was mentioning. We're starting to see an inflection in many countries. So, the impact is coming, not yet impacting the whole group trajectory, but we're starting to see very, very positive signs. So, that was to your first question. Second question is, when do we return to growth? So I cannot put a clear figure on that, unfortunately. We're working very hard on that. It's fairly our priority. I mean, you can see that we have delivered quite effectively on cost reduction and cash preservation. Our top priority is clearly growth at this stage. And we know that we're getting back to it. It's very hard to tell you whether it's in one, two or three quarters. It's very hard to put an exact number on that. Then off platform revenues for JumiaPay, so what's the size of the opportunity? So, it's very hard to size. What we're doing now is that we're negotiating -- we're improving the product and negotiating with key partners for a very selected contract in a very selective way, so we can prove the concept, have happy customers and then expand again. So, we're not at the stage where we can say exactly how many million or billion dollars is going to generate. We're really focused on proving the added value, the scalability in Nigeria and Egypt specifically. And then to your fourth question, can I leave that to you, Antoine?
Antoine Maillet-Mezeray: Yes. But can you please repeat the question? Because my line is not very good and it wasn't clear to me.
Catherine O'Neill: Yes, no problem. I was just wondering if you could give a bit more detail on the current cash situation in terms of whether there's any trapped cash anywhere and what the composition of [indiscernible] cash balance is?
Antoine Maillet-Mezeray: Yes. So, you know that are operating in 11 different jurisdictions, and they all have their own ForEx regulation. Some of them -- in some of them, it's very easy to repatriate cash, some of them are a bit more difficult to deal with, because the regulation is a bit complex. What I can tell you is that as we speak, we have -- there are no countries where we have material amount of cash from which we cannot repatriate. And we have already started to repatriate for more than a couple of countries. There is no, as you speak, cash trap in any country where we would have cash that we are not going to use. And maybe an additional point, the recent evolution in Nigeria, which is probably a very good move in terms of macro, will help to rest our confidence in the ForEx market and makes it easier to repatriate cash from the country.
Catherine O'Neill: Great. Thank you.
Operator: Thank you, ladies and gentlemen. At this time, we have reached the end of our question-and-answer session, and this concludes today's conference. So, you may disconnect your lines at this time, and we thank you for your participation.